Operator: Good morning, ladies and gentlemen. And welcome to Champion's Third Quarter Results of Financial Year 2024 Conference Call. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session [Operator Instructions]. This call is being recorded on Wednesday, January 31, 2024. I would now like to turn the conference over to Michael Marcotte, VP, Investor Relations. Please go ahead.
Michael Marcotte: Thank you, operator. And thank you everybody for joining us today to discuss our Q3 results of the financial 2024. Before we get going, I would like to turn people over to our website where you can find the presentation we will be using for session under the investors tab and Events and Presentation. Also we will be making forward-looking statements throughout this call. And for more information on forward-looking statements, you can also look at our MD&A, also available on our Web site. Joining me here today is our CEO, David Cataford; our COO, Alexandre Belleau; our CFO, Donald Tremblay. Our CEO, David, will make the formal portion of this call and then we will follow-up with Q&A as well towards the end. With that, I'll turn it over to David.
David Cataford: Hi, everyone. Thanks for being here today. So if we look at the third quarter highlights, I think the biggest highlight for us is the fact that we have managed to surpass our nameplate capacity and deliver roughly about 4 million tonnes during the quarter. So very big achievement that we have managed to do and we will be able to run through what that means for us. A little bit underwhelming has been the delivery on the rail operator of allowing us only to sell about 3.2 million tonnes. We will be able to address that portion a little bit further into the call as well. As we have always said, when those plants are running smoothly, it also allows us to tweak the recovery circuit and increase our iron recovery. So another highlight during the quarter is the fact that we have managed to achieve 81.4% iron recovery, just shy of our 82% target. But again, we feel confident we will be able to achieve that once we continue operating in a stable manner and able to tweak that recovery circuit, but we now know that the plant can deliver over the nameplate capacity. What that means in terms of our cash costs? Our cash costs were trending in the right direction going from roughly about $74 to $73. So we have improved slightly the cost but we will be able to go through the different elements that are entailed in this. So very happy of the highlights that we managed to achieve during the quarter. What's important as well when we deliver record production is to not only have record tonnes but also produce clean record tonnes. And if we look at the quarter, we exceeded over 500,000 hours work without a recordable injury and also managed to deliver those tonnes without any significant environmental issues. So very proud that we have managed to produce 4 million clean tonnes during the quarter. In terms of the work that we have done with the community, I think it's been also a very big quarter. We have managed to continue strengthening our partnership with the First Nations, delivering on different projects that we are doing within the community. So very proud of what we have managed to achieve with our partners from Uashat Mani-utenam. We also had a visit from the Minister of Natural Resources and Forrest at Bloom Lake, where we were able to discuss what we do and how important our material is to decarbonize the steel industry and decarbonize the world. So turning back to operations. You probably saw during the quarter that the P62 and the P65 increased slightly, so about 12.5% and 11%, respectively. And we managed to fully benefit from that increase and pricing during the quarter. We see that the margin for the P65 is still fairly depressed compared to historical numbers, again, pointing towards weak steel output in Europe and the lack of environmental controls in the steel industry in China. But we still see that the iron ore price right now has been fairly healthy during the quarter, that's been a little bit offset by the higher shipping costs. So one reason being the events happening in the Red Sea and also an increase in the C3 index, but we have seen that since being reduced a little bit. If we turn to the underwhelming portion of the quarter being the rail operator, so this has been a little bit more complex during the quarter. We are working very closely with the rail operator so we can get the contractual tonnes that we have agreed on, but it has been a challenge and has pushed back a little bit our view on when we believe we will be able to bring down our stockpile. So during the quarter, we increased by 800,000 tonnes our stockpile at site, bringing our current stockpile to about 2.4 million tonnes. The element that is positive is we have had significant space at Bloom Lake to be able to stockpile material, but that has increased our costs at site and has made things a lot more complicated for us. So continuing to work very closely with the rail operator, so we can get the agreed tonnage down on the rail. In terms of our operations, when we look at the highlights of the quarter, so not only do we produce 4 million tonnes, but we also increase the material mined and moved at site. We increased our strip ratio and even if we produce that high level, we have managed to keep the mine healthy by moving all the tonnes of waste that we needed. We still have a slight backlog from the beginning of the ramp up that we we’ll be able to work on in the coming quarters, but the mine is in a very healthy position right now. And another element that's very important is even if we have produced a record production during the quarter, every tonne that we have produced has been of high grade quality, again, showing the fact that the Bloom Lake material is extremely good to be able to help our clients produce more, decarbonize and we will be able to go through the next steps of our decarbonization portion. What does that mean in terms of financial highlights? An EPS of about $0.24 per share, EBITDA of close to $250 million. So very good quarter, allowing us to generate cash to be able to position ourselves very well for our growth initiatives. In terms of our costs, so we saw them trend slightly lower, a little bit higher than where we would like them to be. The main highlights for the quarter is the higher sale volume. But because we had to move quite a lot of tonnes that we had to rely on certain contractors at the mine to be able to do this, which increased a little bit of cost and also got into the winter period, where the snow removal started the and other elements consuming a little bit more energy at site. But we still feel confident when we will be able to produce and ship the same amount of tonnes and improve the operations at Bloom Lake, we will be able to bring our costs below the $70 mark. In terms of provisional price adjustment. As you know, always a little bit of noise during the quarter. This quarter was positive. We had about 1.3 million tonnes on the water at the end of last the quarter where we had forecasted a price of about $126 per tonne. We managed to achieve roughly about $135, giving us $12.3 million of positive provincial price adjustment. If we look for the next quarter, so we have about 1.8 million tonnes that is subject to a provisional price and the expected price that we had at the end of the quarter was roughly about $150 per tonne. If we look at our average realized selling price, so a little bit higher than the P65 index due to timing elements during the quarter. But we did see our freight and the demeridge increase due to logistics issues, mainly on the rail and also the higher C3 impact as we mentioned a little bit earlier due to the impacts in the Red Sea. But all-in-all, as we mentioned, we have seen this come down slightly in the month of January. And if we go back to last quarter, allowed us to have a net realized price of about CAD157. What does that mean in terms of our cash position? Well, it allowed us not only to pay our dividend but to invest in the mine, also invest in our CapEx projects for the growth initiatives and allowed us to increase the cash by just over $70 million during the quarter. In terms of balance sheet, so very well positioned for the next steps of growth. We have roughly about $400 million of cash in the bank. And if you account for the inventory that we have at site, minus the logistics and freight costs, we have a value of about $200 million post logistics and taxes at site, making our cash balance roughly about $600 million. So again, very well positioned to be able to continue our growth initiatives to create more value for our shareholders. You probably saw in the past quarter that we've continued working with our great partners at the various banks that are in our loan facility syndicate. We managed to secure a new term loan of about $230 million US, allowing us to repay the revolving facility and have a full $400 million revolving credit facility available and again, positioning us very well to be able to work on our growth initiatives. If we turn to the past quarter in terms of why we would want to produce higher grade iron ore and why we would potentially take an FID on producing 69% iron at Bloom Lake. One of the main highlights during the quarter is the fact that at COP 28, we saw a lot of governments recognize the fact that if you want to decarbonize, you can't only work on electric vehicles, you have to also work on various elements, one being steel. And we have several countries, including Canada, Germany, UK and US, all pledged to procure green steel for public infrastructure construction. The big advantage is this is a little more price agnostic. Once the government's pledge to be able to use green steel, they'll need this green steel to be able to build their infrastructure. So if you put this on top of all the contracts that we've seen last year between steel purchasers to be able to use the -- whether it's in car manufacturing or in various other businesses that require green steel on top of these governments also pledging to procure green steel for public infrastructure, we see that it's all pointing in the right direction to have a healthy premium for a green steel and also for the ingredients that come into green steel. We also have the United States and Latin America that announced measures to introduce a similar mechanism to Europe in terms of the CBAM, the Carbon Border Adjustment Mechanism. So again, pointing in the same direction that it's important to produce low CO2 intensity material like what we do at Bloom Lake, and be able to participate in a lower CO2 steel environment. So again, pointing in the right direction to be able to create significant premiums for the higher grade type material that decarbonizes the world. What we saw in the last quarter, very impressed by and proud to have worked alongside different governments to be able to show how important high grade iron OE is to decarbonizing the world and also our country here in Canada. And this has made not only Quebec but also Newfoundland leaders in terms of recognizing the high grade iron ore as critical and strategic. So we're now part of the list of critical minerals here in Quebec and also in Newfoundland allowing us to view the importance that we have for various governments to deliver projects in terms of high grade iron ore. This had allowed us also with Hydro Quebec or with the Quebec Government to be one of the only companies that had access to hydroelectric power blocks to be able to do our modification of Phase 2 to increase the grade to 69%. So if we turn to this project, we had hinted in the past quarters that there was certain elements that needed to be achieved for us to have final investment decision on the plant number two modification to bring it up to 69%. So when we look at this project, it was roughly about CAD470 million to be invested for us to take half of our tonnes and upgrade them to 69% to then be able to enter the electric arc furnace market and also the green steel market. So by having the power and also increasing our credit facility, making sure that our balance sheet is robust, allowing us to do the project, we got the final investment decision yesterday from our Board and are now on-track to be able to deliver our project by the second half of calendar 2025. So this will then position Bloom Lake as producing one of the highest grade materials in the world on half of our tonnes and being able to enter the DR market. Other initiatives that we are working on, so we are continuing to work on our feasibility study for a Pelletizing Facility in Pointe Noire and also continuing to work with our partners that we have invested in binding solutions to be able to produce a coal bonded pellet. We are now at the pilot plant phase where we're producing material that will be able to ship to our various clients so they can test it in their steel making process. But we are very optimistic on the next steps of this coal bonded Pelletizing. And once we have more data from our clients on how it reacted in their steel plants or more their steel capacity, we will be able to come back to the market in terms of next steps with this project. If we turn to -- last quarter, another highlight as well has been the delivery of a feasibility study for the Kami Project. So this is a significant resource, just a few kilometers away from Bloom Lake, situated in Labrador, so in Newfoundland in a very mining friendly jurisdiction and that has a long history of supporting iron ore operations. If we look at the highlights of the study, it's roughly about a 9 million tonne per year DR grade pellet feed that would be over above 67.5% Fe with currently a 25 year mine life. It includes equipment similar to what we have at Bloom Lake, so proven technology to be able to produce this. And one of the other advantages as well is we have managed to have a project that would have an even lower CO2 intensity than what we have at Bloom Lake, making this a leader in terms of CO2 intensity per DR grade type material. If we turn to the economics, so the initial CapEx for the project is just shy of about $3 billion and a C1 cash cost to produce DR grade material would be sub $60 delivered in the vessel in Pointe Noire. So very robust operating cost. And when you look at the CapEx required to build the project, it gives a good view on what it costs to build a project in the top tier jurisdiction. Again, showing the big advantages that we have at Bloom Lake and also allowing us to have a good potential project in the pipeline to be able to bring more DR grade in the market. The next steps in terms of this project is to be able to continue working with groups that would potentially need this material and that would like to partner up to be able to evaluate the next steps. So now that we have our feasibility study in place, we'll be able to continue the discussions with the various groups that are interested in being able to partner in this project, and once we have a potential partnership come back to the market and be able to explain the next steps. If we look at where this project positions itself in terms of high grade iron ore or DRI quality iron ore. So we see that the capital intensity is roughly about $331 per tonne. I mean, we've just delivered a feasibility study at the peak of inflation. But I think it was important to have conservative numbers that reflect what it would cost to build a project today and be able to eventually look at the different ways that we can potentially improve the economics of the project. So all in all, I think a fantastic quarter where we've managed to hit a record production of clean tonnes here at Bloom Lake, allowing us to view the next steps of our growth initiatives. I think it's positioning us very well in everything that we can control and being able to work on the next steps, mainly on the logistics side, to make sure that we can match everything here at Bloom Lake with what we do to make sure that we can bring all these great tonnes to our clients in the future. So thanks everyone for being on the call. We'll now turn it over to the Q&A portion.
Operator: [Operator Instructions] Your first question comes from Alexander Pearce from BMO Capital Market.
Alexander Pearce: David, so just thinking about Kami, maybe you can just give us an idea of the premium you've assumed for that project over the 65% iron ore price quote and how that product maybe defers from the DRPF project of Bloom Lake to begin with?
David Cataford: So when we look at the premium that we've used for that, when we look at the all in price, the premium that we've used was about $34 per tonne. So it was lower than what we had in different reports from independent groups on where that premium would be, because you have to imagine that the premium was taken a few years down the road and with a 25 year sort of view and taking into account all of the new production in terms of green electric arc furnaces that will be coming into the market with the potential supply gap that will be there. So that's the number that was used. There's also a slight freight advantage that is used as well compared to where we're at today, because when you look at the potential market for this, we're targeting much more Europe, Middle East, US and Canada in terms of the use and also continuing potentially to send tonnes to our great partners in Japan. So that's the way that we build the premium and the freight portion.
Alexander Pearce: And then obviously you mentioned that you are looking at potentially looking for some more kind of optimization opportunities there, but obviously the IRR is actually relatively low and the CapEx number is quite high. So maybe based on those, the numbers that we can see in the study at the minute. Is the right way to look at this as a longer term option to dovetail in with Bloom Lake down the line, let's say, if final oil prices do remain elevated? And then maybe the second part to this, how confident are you that the rail capacity can eventually get to a point which can actually support those additional tonnes?
David Cataford: So if you look at the study, I think the main thing to take in is how undervalued we are at Bloom Lake. So when you look at how much it costs to build a new project of this DR grade type material in the top tier jurisdiction, it's fairly expensive. So it really puts the spotlight on what we have here at Bloom Lake and it really shows the importance of us not only delivering this DRPF project for Phase 1, but eventually looking at making 100% of Bloom Lake at DR grade material. It also highlights the importance of working on the debottlenecking projects at Bloom Lake, because we do feel that that's the portion that's the most accretive for our shareholders. Now that being said, when you look at the future, if the market requires DR grade material, where are you going to get it from? Now the important thing for us to get the study that came out is to be able to, one, position a very conservative price of CapEx to be able to build the project and then the economics. Well, obviously, if you use the three year trailing average for the iron ore price, you get an NPV over $2 billion. So I mean the economics are good. If you look at the trailing price, but as you know, everybody usually sees iron ore price going down in the future, because everybody believes it’s so easy to build new projects and new projects don't cost anything to build. So in that situation, obviously, the economics of the Kami Project are not that great. So in that scenario, it puts Kami as a good option for the future. If the market goes to requiring quite a lot of this DR grade type material in the future, well, then we might see and governments now pledging to use green steel. Once that starts getting built into the price of the premium, we will see where that lands and that might position the economics of a project like Kami in a better space. When you have elements like C-band and then if the US and Latin America also go down the same route, well then you have Carbon Border Adjustment Mechanisms that also favor the introduction of low CO2 intensity DR grade material. So where is this going to land that we will be able to evaluate in the next years. But I think the important thing for us was to come out with a conservative number that shows how important Bloom Lake is in the current scope of our company and puts a good option for the future. If we turn to the rail operation, as you know, it's got a theoretical capacity of about 80 million tonnes per year. So the rail is not the issue, it's really the operation and we need to make sure that we continue working with the rail operator to ramp up those tonnes so we can move every ton that we produce at Bloom Lake plus the stockpile down to our port and eventually to our clients.
Operator: Your next question comes from Orest Wowkodaw from Scotiabank.
Orest Wowkodaw: Good morning, and congrats on completing the ramp up at Phase 2. I had a question around the expected cadence of inventory destocking. We clearly saw the inventory number go up now to 2.4 million tonnes. Can you give us some guidance on how much -- assuming you are now operating at the full nameplate moving forward, how much capacity or ability on the rail is there to destock that inventory? And I feel like with that higher number it's likely going to take more than a couple of quarters now. Can you give us some guidance on what to expect there?
David Cataford: Maybe just to position the run rate at Bloom Lake. So we hit a record of 4 million tonnes during the quarter, and that brought up different elements that we need to modify at site to make sure that we could eventually hit that in a sustainable way. So please don't expect that every quarter will be making this number because, just to give you an example, the way that we've designed all of our shutdowns, it was to pass a certain amount of tonnes within our mills. But by hitting those sorts of numbers as we did in the past quarter, while that has shown that some equipment is wearing out a little bit sooner than the major shutdown. So we need to work on the maintenance schedule and on the various equipment that we have to make sure that we can hit those sort of numbers in a sustainable way. That was our view on the debottlenecking project. As we've been mentioning for a while, we push the machine and then we come back a little bit, fix what needs to be fixed and then take another potential step change in the future. So by saying that, in the next quarter, we should not view that we'll necessarily be producing 4 million tonnes. And as we work with the rail operator to be able to pass down the contractual tonnes that we have, we do feel that we'll be able to destock the inventory in the coming quarters. But to your point, obviously, the results that we've had in this quarter, adding 800,000 tonnes on our stockpiles has pushed out the time frame that we view will be able to bring down those tons. This is causing significant issues for us. So increased cost at site, more complications also for us, the advantage is we do have the space to be able to do it, but at the same time, our main focus is really to get that rail in line so that we can pass down our tonnes.
Orest Wowkodaw: Can you be a little more specific? Like should we anticipate any inventory destocking in this March quarter given its winter, or is that likely going to start more in the June quarter and then, I don't know, take, I assume, several quarters?
David Cataford: I would not -- I mean, we've now increased 800,000 tonnes of material this quarter. I don't expect us destocking this quarter. We would need to destock this quarter, but I unfortunately don't expect it when I see what the challenges that are there during the winter period and the fact that in the previous quarter we only managed to bring down 3.2 million tonnes. So I do expect that it's going to be closer towards the summer where we start destocking the stockpile.
Orest Wowkodaw: And just maybe another way to approach it is, what do you think a realistic sales number is as we get into later part of the year in terms of volume, in terms of what the rail can handle of your total volume? Is it 4 million tonnes, is it slightly more? I'm just trying to understand the near term limitations on volume on sales.
David Cataford: So we're working with the rail operator to be able to get that, because that's the only sort of bottleneck that we have right now to be able to get those tonnes to market. We know the market wants them, we know we can produce them. So that's the only missing link. I'd love to give you more info, Orest. But honestly, this is the biggest risk of our company and we're working -- doing everything we can to get that rail to the level it should be.
Operator: Your next question comes from Dalton Baretto from Canaccord.
Dalton Baretto: I want to stay on that same line of questioning. It's really just such a shame that you guys are facing these logistics issues in this pricing environment and with your operations doing so well. Just one follow-up question on that front. You've got 2.4 million tonnes of finished goods inventory now. How much more space do you have? I mean, if you have another hiccup on the rail, is there a scenario where we could see you having to dial back production rates?
David Cataford: I mean, you have probably one of the most creative teams in operations and we typically find ways to make things work. So we will continue to have that same approach. It's tough to give you a number on what's available. Honestly, our view is that we should never have more than 100,000 to 200,000 tonnes of inventory at site. So this is an abnormal situation. But as you have seen us in the past 10 years, we sort of always try to find a way, but it's costing us obviously and it's been very, very complicated. But I do expect that if we continue producing we will be able to work with the rail operator to get those tonnes down and hence not have to use more stockpiling capacity at Bloom Lake. There is space but the last thing we want to do is to continue increasing seeing that stockpile at site.
Dalton Baretto: And then just maybe switching gears to Kami, and a couple questions there. I'm just wondering, you've got the numbers out there now. How does this compare to a potential Bloom Lake Phase 3 scenario?
David Cataford: It's a tough one to answer, because we are not as advanced on the Phase 3 at Bloom Lake. So we are working on that. I think the main focus for us at Bloom Lake is really the debottlenecking project. So when you look at the economics of debottlenecking Bloom Lake, obviously, better than what we have in a greenfield project like Kami, so that's going to be the main focus for us. Now that we have the CapEx numbers for the Kami project, we will definitely continue working on a potential Phase 3 of Bloom Lake. But I think that the best way to approach Bloom Lake in the near term is really to get it to its full potential with the plants that we have now.
Dalton Baretto: And then just based on your comments so far, it sounds like given these numbers, you are not really rushing to move Kami forward. When you think about the structuring of the financing and the potential JV scenario, how fast are you moving on that and what kind of a partner are you looking for, what are you looking for them to bring to the table?
David Cataford: So we are looking for a great partner. Our view is that, to find a great partner, it needs to be someone that need those tonnes. So realistically, we don't need -- well, it's not that we don't need a financial partner, but there is no big advantage for us in partnering up with a strictly financial partner. The main importance for us is really to find someone that needed the tonnes. So it's going to be a large steel manufacturing company that wants to produce green steel, that sees importance in producing steel with low CO2 intensity, that comes from a low CO2 intensity and in a top tier jurisdiction to be able to supply either governments or the automotive sector to be able to use this material. So that's the type of partner that we are looking for and that's the type of groups that have approached us in the past to be able to see if they can partner up on Kami. So those are the discussions that we will be able to continue. How quickly will that happen? Well, we have been in discussions for a while already with various groups on this and there are some interested parties. So we will see how much time it can potentially take to firm up something with one of these partners. But the partner portion is definitely a priority for us, because even if we are not necessarily pressing go on the project, I think where we can create the most value for our shareholders is by derisking these projects as much as we can. So that way when we do potentially take a decision, we are much closer to the end goal when we actually pull the trigger. So for us, we want to continue monitoring where the DR premium is going, where all this sort of steel portion and steel premiums for green steel is going. And if we can advance permitting, we can derisk certain aspects of the project, definitely something that we'll be looking into, because we do feel that we should advance it to a certain level without spending too much shareholder money, but making sure that we can derisk the project and be closer to that decision time.
Operator: Your next question comes from Lucas Pipes from B. Riley.
Lucas Pipes: David, I first want to follow-up on the rail side, and would appreciate additional color around what exactly is holding up the destocking at this point? I feel like there have been a few moving pieces over the past nine, 12 months that have led to this inventory buildup. But would really appreciate kind of what's been the bottleneck, what is the rail operator telling you today? I'll start there.
David Cataford: That's a bit tough to give more color on this one, Lucas. So they're not delivering the contract. So it's basically that simple, and we want to make sure that they're able to do that. We gave them significant money ahead of time to be able to get ready, and it's not delivering, so we need to make sure that we can get that in line. So right now, that's pretty much all the color that I can give.
Lucas Pipes: Are locomotives missing, are people missing, is the track not maintained? What is contributing?
David Cataford: That's their business. Realistically, we put everything in place so that they should be delivering right now and it's not delivering. So we’re… 
Lucas Pipes: Are they making investments, are they getting -- I mean, in order for you to destock, they have to make these decisions today. Do you see any movement on their part?
David Cataford: I mean, it's a bit tough to be able to answer all your questions, Lucas. I mean, one thing you have to take into account is that this is the biggest risk of our business and we'll do everything to make sure that we can get those tonnes down. But to start getting more in detail in the way that they operate, that the number of locals they have and this and that, bit tough to get into that portion. I think the main highlight is, again, long term, the capacity of that rail is 80 million tonnes. And it's the first time that it has to operate to those levels and they're now ramping up. And we want to make sure that we can get what we signed for in terms of logistics.
Lucas Pipes: What's the legal recourse? So this is costing you a lot in higher inventory costs, capital’s tied up, you're missing on a big market opportunity. What are the legal mechanisms you have to force them to live up to their terms of the contract?
David Cataford: We have a contract in place and we're now working with the rail operator to get this up and running. That's pretty much all the color I can give you, Lucas.
Lucas Pipes: I'll do one more along those lines, and I'll switch topics. I understand you have storage to stockpile, but this is tying up a lot of capital. And is there a point of inventories where you say like, look, enough is enough, we don't need to bunker iron or for the next 18 months or something like that? When do you reach that point where you say, we have to cut production?
David Cataford: Every tonne we don't produce we’ll never be able to produce again. So right now, when we look at our cost to be able to stockpile it versus the available liquidity that we have, it still makes sense to be able to stockpile. Our view is that we will be able to bring down all the tonnes that we are producing in a short period of time versus the actual capacity on the rail. How much more tonnes could we stockpile before we would sort of pull the plug in terms of pushing the machine? A bit tough to answer, because again every time we don't produce a tonne, we will never be able to produce that tonne again. So for the moment being, it still makes sense for us to push Bloom Lake and to make sure that we can produce everything that we can. And we are hopeful that we will be able to get that logistics portion resolved shortly so that we can get all the tonnes down there.
Lucas Pipes: I guess you could produce the tonnes later, right, if they are sitting on the ground or sitting on the stock, I don't quite understand that trade off…
David Cataford: No, what I'm saying is that the plants, if you reduce the cadence, well, then it's not as if you will be able to increase it higher than its nameplate capacity in the future. So every tonne that you don't produce and that you slow down, you won't be able to make up for it. So for us, it still makes sense when we look at our view on iron ore price, when we look at our costs, the margins that we can make, still make sense to produce those tonnes today.
Lucas Pipes: So in other words, you would also expect this rail bottleneck to be resolved soon?
David Cataford: I would have expected it to be resolved already. So it's definitely something that I expect to be resolved soon, yes.
Lucas Pipes: David, I want a little bit higher level on kind of supply demand for high grade iron ore. If you look out over the next three years, what would be the incremental demand you are seeing kind of by region and what incremental supply do you see coming online, be it Eastern Canada, Brazil? I understand supply regions are limited of this great material, but would appreciate your thoughts on that. Thank you.
David Cataford: What's important for us, and I think we have been mentioning this for the past several years is, we don't necessarily want to service long term blast furnaces. We want to be that niche product that services the electric arc furnace market and that's where we see there is a pretty big gap in terms of supply and demand. You are seeing in various countries be it US, Canada, Europe, especially Germany and France, we are seeing a whole lot of investment to build electric arc furnaces. When we speak to various clients, they don't necessarily have a clear solution on where all of those tonnes are going to come from to be able to supply that. We just came back from the Middle East as well in the conference in Saudi. We are seeing all the investments that are being made in the Middle East, all the investments and the money that's available to be able to build green steel capacity. And again, what we are seeing is that they need to secure tonnes in this DR market. So for us, it's very important to move away from what I’d call traditional high grade, because you have projects like Simandou that will potentially come on in a short timeframe. You have other projects that could come on that could supply that higher end of blast furnaces, but that don't quite make it for the DR grade, I mean maybe a few tonnes, but that don't quite make it in the DR grade portion. So we want to make sure that, we are in that market, so we differentiate ourselves and we have a higher margin. And when you see countries like Canada, US, when you see potentially Europe, also partnering up just to use green steel in the infrastructure builds, well, that creates a big demand that is more price agnostic in terms of what premium has to be paid, because they just need that material. It's not as if they're doing a trade off to see, well, can I sell my car X amount more versus the premium that I'm paying for green steel. If they're saying we need green steel to build our infrastructure, well, that's what's going to be required. So we do feel that there's quite a gap in terms of supply of DR type grade type material and that's really the market that we want to be in.
Operator: Your next question comes from Craig Hutchison from TD Securities.
Craig Hutchison: My question is just on costs. You mentioned in your release that it was negatively impacted by utilization of contractors to fill vacant positions. Can you just let us know which positions were filled by contractors? And have you started to change that here in the first calendar quarter, are you starting to fill those positions internally?
David Cataford: It's a lot maintenance related Craig. So mostly the garage, mostly working to make sure we can have the uptime on all of our equipment. So we had to push the availability of our equipment to be able to hit those sort of numbers. So that's where we've got a lot of sort of firepower. I mean it accounts for roughly about just over 60 some odd cents per tonne. So it's not that portion of the cost was not the main area, but it's still one that in -- if we would've hit, we would've been closer to $72 per tonne. So that's where we had the most cost impact at the mine side.
Craig Hutchison: And your target to sort of hit the mid 60s on cost, is that really contingent on everything working on the rail side?
David Cataford: Correct.
Craig Hutchison: And maybe just one last question for me, just on the capital for the quarter. There was, I think, $18 million you guys spent for third party facilities and set to handle the additional production from Phase 2 additional. Is that going to be a reoccurring cost and just kind of curious why that was capitalized versus say expensed?
David Cataford: That we're finalizing the work and the payments related to the SFPPN, so the port portion. So when you look at that sort of investment, if you remember, we had to build that new stack of reclaimer, build some new sitings and do all that work at the port. So that's where that portion has been invested. But we don't view it as a recurring, we're pretty much finalized right now, the work that needs to be done at the port.
Operator: Your next question comes from Steven Ioannou from Cormark.
Stefan Ioannou: I think you kind of answered my question, but maybe just to rehash just on Kami, you kind of mentioned still looking to further derisk the project going forward. Just wondering, are there any significant sort of boots on the ground costs required to do that either before you really engage in partnership discussions or after, like, is basically the study you have in hand now is the key sort of tool you're going to have to move the project forward or do you have to do a little bit more still in terms of spending?
David Cataford: Right now, when we look at the next steps, we really want to work more on securing a partner before we start investing more dollars or more significant dollars in the Kami project. So I think we brought it to the level now where we can potentially attract a partner once that is done. While there is some more drilling that needs to be done to define the geotechnical portion, there's some investment that needs to be done on the environment side to make sure that our plan for the tailings and so what, is correct but it would really position us differently in the region by being one of the most robust tailings facilities in Labrador. So it's a higher CapEx number eventually in the future, but we want to make sure that we hit every key point being the environment to make sure that we can enter that green steel and those sort of ESG friendly portion premiums. But when we look at the investments that we would be making short term, it's really smaller investments until we potentially bring in a partner.
Operator: Your next question comes from Brian MacArthur from Raymond James.
Brian MacArthur: One of the things you highlighted in the quarter was getting power from the Quebec Government, because even there I guess it is limited. With the power you have now, you can do the DRFP 8 million tonnes I assume. But would you have enough power to do the bottlenecking at Bloom Lake 3? Where is the power constraint coming in this whole process now as you move through all your options?
David Cataford: The good thing when you look at the debottlenecking projects, they don't necessarily use up that much fixed power. So there is more power required at the mine but that would mostly come from the trucks. When we look at the capacity we have right now, will we be able to operating extra shovel? There is no problem there. We do have some certain buffers at the site and the big ticket items in the plants that use up the power is really the mills, and we would not be adding more milling capacity to be able to achieve that. So for the debottlenecking projects, we don't feel that we would need more power to be able to get there. The only more power that we would need to secure is if we were going to put 100% of the Bloom Lake tonnes into DR grade, so by modifying the first plant and adding a flotation plant there that would potentially require more power. But apart from that we feel that we have got the power required to be able to debottleneck Bloom Lake.
Operator: [Operator Instructions] Your next question comes from Lucas Pipes from B. Riley.
Lucas Pipes: I want to circle back on the rail side one more time. Are the incentives fully aligned? And put differently, does the rail operator have an issue on economics or in your opinion are they properly incentivized to live up to their contractual obligation? Just want to make sure nobody's upside down on this contract.
David Cataford: I don't see any issue. I mean, you see all of our costs to be able to deliver a tonne at the port. You can imagine what operating costs are. The only issue they might have is counting the profits they are making from those tonnes. So there is no issues in terms of profitability on that rail that would hinder them from investing what is required to deliver the contractual tonnes.
Operator: There are no further questions at this time. I will turn the back over to David Cataford, CEO, for closing remarks.
David Cataford: Thanks, everyone, again for being on the call. Thanks for supporting us through the various stages. I think we can be extremely proud of what we have managed to achieve during the quarter. A bit of noise that as you have seen on the logistics side but we are working to be able to solve this. But again, I think the main highlights for us is the fact that we've managed to produce over our nameplate capacity in such a short timeframe is an incredible achievement that the teams have managed to do. We've positioned ourselves very well to be able to benefit from higher premiums in the green steel place by the FID for the flotation plant to allow us to produce one of the highest grades, lowest CO2 intensity DR material in the world. And we're very well positioned with other growth initiatives that we now have as options that we can continue to evaluate over the future and be able to create significant value for our shareholders. So again, thanks everyone for being here and looking forward to seeing you at the next quarter.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for joining and you may now disconnect your lines. Thank you.